Executives: Regina Nethery - Vice President of Investor Relations Michael B. McCallister - Chairman, Chief Executive Officer and Chairman of Executive Committee Bruce D. Broussard - President James H. Bloem - Chief Financial Officer, Senior Vice President and Treasurer James E. Murray - Chief Operating Officer and Executive Vice President
Analysts: Matthew Borsch - Goldman Sachs Group Inc., Research Division Joshua R. Raskin - Barclays Capital, Research Division Charles Andrew Boorady - Crédit Suisse AG, Research Division Sarah James - Wedbush Securities Inc., Research Division Kevin M. Fischbeck - BofA Merrill Lynch, Research Division Christine Arnold - Cowen and Company, LLC, Research Division Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division Christian Rigg - Susquehanna Financial Group, LLLP, Research Division Scott J. Fidel - Deutsche Bank AG, Research Division David H. Windley - Jefferies & Company, Inc., Research Division Peter H. Costa - Wells Fargo Securities, LLC, Research Division Carl R. McDonald - Citigroup Inc, Research Division Douglas Simpson - Morgan Stanley, Research Division Thomas A. Carroll - Stifel, Nicolaus & Co., Inc., Research Division
Operator: Good morning. My name is Robin, and I will be your conference operator today. [Operator Instructions] Ms. Regina Nethery, you may begin your conference.
Regina Nethery: Thank you, and good morning. In a moment, our senior management team will briefly discuss highlights from our first quarter 2012 results, as well as comment on our earnings outlook for the full year. Participating in today's prepared remarks will be Mike McCallister, our Chairman of the Board and Chief Executive Officer; Bruce Broussard, Humana's President; and Jim Bloem, Senior Vice President and Chief Financial Officer.  Following these prepared remarks, we will open up the lines for our question-and-answer session with industry analysts. Joining Mike, Bruce and Jim for the Q&A session will be Jim Murray, Executive Vice President and Chief Operating Officer; and Chris Todoroff, Senior Vice President and General Counsel. We encourage the investing public and media to listen in to both management's prepared remarks and the related Q&A with analysts. This call is being recorded for replay purposes. That replay will be available on the Investor Relations page of Humana's website, humana.com, later today. This call is also being simulcast via the Internet, along with a virtual slide presentation. For those of you who have company firewall issues and cannot access the live presentation, an Adobe version of the slides has been posted to the Investor Relations section of Humana's website. Before we begin our discussion, I need to advise call participants of our cautionary statement. Certain of the matters discussed in this conference call are forward looking and involve a number of risks and uncertainties. Actual results could differ materially. Investors are advised to read the detailed risk factors discussed in this morning's earnings press release, as well as in our filings with the Securities and Exchange Commission. Today's press release, our historical financial news releases and our filings with the SEC are all available on Humana's Investor Relations website. Finally, any references made to earnings per share or EPS in this morning's call refer to diluted earnings per common share.  With that, I'll turn the call over to Mike McCallister.
Michael B. McCallister: Good morning, everyone, and thank you for joining us. Today, Humana announced first quarter earnings of $1.49 per share, above the top end of our previous guidance. In light of these results, we are increasing our guidance for full year earnings per share to a range of $7.55 to $7.75 from our previous range of $7.50 to $7.70. Our better-than-expected results reflect Humana's continued focus on the growth that comes from helping people achieve lifelong well-being, particularly in Medicare.  In today's call, I'll discuss 3 major Medicare growth opportunities for Humana. Medicare age-ins as baby boomers retire, Group Medicare business and longer-term Medicare/Medicaid dual-eligibles. To put these opportunities in context, let me begin with a brief review of Humana's strategy.  For several years, I've been emphasizing the importance of membership growth in Medicare Advantage and PDP as the primary key to Humana's long-term prosperity. We've consequently developed a growth cycle repeated each 12 months, which has achieved notable success.  It works like this. First, we reset our Medicare margins to 5% in the bids we file with CMS each June. Next, we vigorously pursue the comprehensive data-driven medical management and operating cost initiatives that make up our 15 Percent Solution. The progress we make each year is reinvested into attractive highly competitive products for the following year, what you often hear me describe as our senior value proposition.  Finally, in addition to Medicare membership growth, our increasing scale produces related benefits for business adjacencies like RightSource and Concentra as we acquaint all of our members with a wide array of Humana products and services with the goal of maximizing lifetime customer value. Our first quarter results extended this successful cycle and positioned us well for additional growth. This slide shows just how significant that growth has been over the last 3 years. We achieved a net new Medicare Advantage membership increase of 254,000 in 2010; 196,000 in 2011; and are projecting 330,000 to 340,000 net new numbers by the end of this year, the biggest single year increase since 2006. Our stand-alone PDP net new growth estimate for this year is 500,000 to 600,000 on top of the 859,000 net new members we added in 2011.  With respect to newly eligible Medicare beneficiaries, the first of the 3 opportunities, I've discussed in previous calls how our one-to-one retail approach to Medicare Advantage sales, combined with our compelling senior value proposition, positions us well as the age-in population increases.  This slide shows that in the growing Medicare Advantage market, Humana's growth is outpacing the sector's overall growth. Working in tandem, these 2 trends are adding appreciably to our scale, which is especially important in the post-reform environment.  I'll now turn to Group Medicare Advantage, the second of our 3 Medicare growth opportunities. This market has been estimated at approximately 14 million eligibles. It clearly has significant potential, but requires patience since the sales cycle tends to be long. We're seeing an uptick in interest recently as commercial and public sector employers, faced with the baby boomer retirement wave, are engaging in serious discussions with us more actively than ever before.  We're also seeing promising early results. Since 2008, Humana has added more than 300,000 Group Medicare Advantage members. We expect to continue to be an active participant here as employers seek national players with depth and breadth of experience managing retiree health benefit costs.  Turning thirdly to dual-eligibles. This slide sizes the market opportunity for full duals at nearly 7 million eligibles. We believe firmly that our knowledge of the senior population, together with our proven clinical care model serving those living with multiple chronic conditions, gives Humana a distinct advantage in addressing the high cost and poor health often associated with the dual-eligibles. Bruce Broussard will speak more fully to this opportunity in his remarks.  As I do each quarter, let me now briefly update you on our 15 Percent Solution. Having just completed the first full quarter since our Anvita Health acquisition, I'll highlight how our Anvita rules engine has been integrated with our Care Hub medical management system to refine and enhance clinical care management, bringing real time big data to our members' benefit.  Anvita's powerful rules engine collects and standardizes to disparate data sources using proprietary algorithms it then identifies and prioritizes specific areas for intervention, predicts where clinical outreach is likely to be required, and together with our Atlas Rules engine, determines how best to reach out to our members to ensure maximum productivity.  Let's quickly walk through how this works. We have a multitude of data elements about each of our members. The Anvita Rules engine processed 64 billion pieces of data for our medical membership in December 2011 alone. That translates into approximately 200 billion data elements being analyzed per quarter. Once such data is processed, Anvita then interacts with Atlas to determine the greatest opportunities to address gaps in care for our members.  In December 2011, approximately 354,000 actionable gaps in care were identified, then in turn, generated a multitude of alerts to nurses, providers, members and our service operations teams. As a result, 31% of these gaps in care were converted into actions to improve outcomes for those members.  We continue to study all of this data to identify additional ways to improve our outreach. Needless to say, we're excited about the positive behavior change implications for our members this new tool provides. The effectiveness of our chronic care management system is being further augmented by our pending SeniorBridge acquisition. We begun to work with the SeniorBridge team, including 5 -- 1,500 geriatric care managers throughout the U.S., we're visiting the homes of seniors living with multiple chronic conditions.  All of our work in chronic care management is designed to ultimately help our member stay out of institutionalized care, and instead, age with grace in their home. We want seniors to have the best quality of life possible. That includes the best possible health status that, in turn, can contribute to independence, a better consumer experience and lower costs.  To that end, we also strive to ensure our senior value proposition remains robust regardless of the rate environment. With 2013 rates from CMS now finalized, we are deeply involved in the 2013 bid design process. We anticipate that similar to years past, we will design competitive benefit packages that continue to offer compelling value across the country.  To conclude, we are pleased that 2012 is off to a solid start and look forward to sharing more of our progress with you on future earnings calls.  Now I'll turn the call over to Bruce for detailed remarks about our dual-eligible strategy, as well as some recent organizational developments.
Bruce D. Broussard: Thank you, Mike. I'd like to touch on a few things just before Jim Bloem take us through the financials for the quarter in detail. As I've met with investors over the past quarter, interest in how Humana will pursue the dual-eligible opportunity has been strong. Therefore, I'll spend a few moments on our approach to the duals market and our recently announced agreement with CareSource.  Let me begin with the basic tenets of our dual-eligible strategy. First, we will actively participate in this market. We believe the benefits are twofold: revenues per member can be quite high; and we see an incredible opportunity to help this population achieve lifelong well-being. To that end, we must effectively leverage our knowledge of the senior population and the related chronic care management expertise we've gained during our 25 years in the Medicare program. We must also recognize where we need assistance with such specialized areas as the tenant population and long-term care. In such cases, we intend to work with the industry leaders in these areas to ensure that the implementation of the program is seamless to the member while producing high-quality care. Finally, we must participate in a deliberate fashion. The market still is in flux, particularly with respect to the state and federal technical guidance. Having said that, we believe we are fully ready to participate in this dynamic market.  To address the opportunity with more precision, this slide illustrates the per member per month cost associated with the various components of the Medicaid market. Not surprisingly PMPMs weighted heavily towards duals and long-term care members with our care management and clinical intervention programs can be most effective.  There have been many questions at how our duals strategy is aligned with the timing of the CMS demonstration project with the states. States can pursue the program in 3 different structures: One option is to combine the tenants and senior-aged duals in one program. Second option is to separate the tenant from the seniors but require both medical and long-term care management. And the third is not to participate in the CMS demonstration project, leaving duals under the existing state programs.  This slide outlines the number of full dual members in our existing business, and more importantly, the membership opportunity for states prioritizing our strategic plan. Note that the number of members at risk is relatively small, 52,000, in comparison to the 4.5 million membership opportunity. We believe the limited number of states requiring services with TANF is very manageable with our recently announced CareSource alliance.  In addition, we have a significant opportunity in states requiring long-term care with our Humana Cares and our pending SeniorBridge acquisition capabilities, combined with leveraging our long-term care service partners. Obviously, it is too early to quantify our expected success. However, our cautious strategy of partnering through alliances provides the opportunity to participate in the early stages of the demonstration project, but provides flexibility as the state technical guidance is more defined.  We are very excited about our alliance with CareSource that we announced in the first quarter and believe it will position us for the dual success in a number of geographies. With Humana being one of the most respected Medicare companies in the U.S., we now have a proven Medicaid partner with 23 years of experience and a solid reputation with government agencies.  Through this alliance, Humana and CareSource will deliver innovative solutions to enhance care coordination and improve health outcomes. CareSource will take the lead in servicing the TANF members in those states where the bidding requirements to serve duals is combined with the TANF population.  Let me close by highlighting some recent organizational changes as we continue to thoughtfully adjust our organizational structure to be more aligned with our customer-centric operating segments. We are pleased to make 2 key appointments in the first quarter. First, Tom Liston was promoted to President of our Retail Segment. Tom has been instrumental in leading our Senior Products Group for the past several years. He was the ideal choice to oversee the entire Retail Segment. Second, Tim McClain was promoted to President of our Government and Other Businesses. With a solid background in government and military services, including several years with Humana Military as the Head of our Veteran Services, Tim will be highly effective in ensuring that our multifaceted military and veteran service business will continue to thrive. These leaders are but 2 examples of a highly capable individuals whom I have known -- have the pleasure of working on a day-to-day basis. I continue to be impressed by the intelligence, dedication and deep concern that I see for our members from leaders and associates throughout the company.  With that, I'll turn it over to Jim now.
James H. Bloem: Thanks, Bruce, and good morning everyone. Looking at the first quarter, we were pleased with earnings per share of $1.49, which exceeded the midpoint of our previous guidance of $1.40 by $0.09.  As indicated on the slide, there were 2 principal items that drove this over performance: first, greater-than-anticipated prior period development of medical claims reserves added $0.03 per share to the quarter's results. This amount was lower than the $0.31 of favorable development experienced during last year's first quarter, a difference that I will discuss when I review each segment's results in the next few minutes. Second, we lowered our estimate of the 2011 Medical Loss Ratio rebates payable for our Employer Group and individual commercial business lines by approximately $15 million, which added $0.06 per share to the results for the first quarter. $13 million of this $15 million was driven by our Commercial Group business while the remaining $2 million was attributable to our individual commercial business. Looking ahead to the full year, these same 2 principles apply as indicated on the slide. In addition, we now have included the recent Arcadian acquisition in our full year 2012 guidance. We estimate that Arcadian will be $0.05 per share dilutive due to transaction and integration costs. Arcadian is expected to become accretive once we switch the business to our platform on January 1, 2013. So in summary, we now expect full year 2012 earnings per share of $7.55 to $7.75, an increase of $0.05 per share over our previous guidance midpoint. In this morning's press release, we also included EPS guidance of $2.15 to $2.25 for the second quarter. Based upon our 2012 full year guidance of $7.55 to $7.75 per share, we expect to earn slightly more than 1/2 of our full year EPS in the second half of the year.  In contrast, we earned 54% of our 2011 EPS in the first half of the year. This 2012 difference in our earnings pattern of the first half versus the second half of the year primarily is attributable to the following 3 factors: first, our 2002 year-over-year -- our 2012 year-over-year quarterly administrative expense growth for the rest of this year is expected to be progressively lower versus 2011. As in prior years, we expect to incur a higher run rate of marketing and enrollment costs for our Medicare business during the final 4 months of 2012. However, in 2011, we also were investing increasing amounts in our clinical and provider infrastructure throughout the year. Accordingly, the 2012 year-over-year quarterly change in this investment spend is expected to decrease as we progress through this year. Thus, even though our Retail Segment operating expense ratio was 40 basis points higher in the first quarter of 2012 than it was in the first quarter of '11, we expect that, ultimately, it will come in around 50 basis points lower for the full year 2012 versus 2011. Second, the expected growth rate in our PDP membership by 550,000 members at the midpoint results in a further shift of our earnings toward the second half of the year. As we've discussed on numerous occasions, the annual benefit change of the PDP product results in a declining medical expense ratio as the year progresses. And finally, leap day this year had the impact of moving more expense into the first half of the year relative to the second half. Accordingly, after including the impact of these 3 items, we remain comfortable with our second half 2012 forecasts. Turning now in more detail to the first quarter Retail Segment results. Pretax earnings of $115 million were in line with our expectations. They included the $33 million impact of favorable prior period development versus $40 million in last year's first quarter. It is also important to note that leap day resulted in an extra $40 million of medical expense compared to last year's first quarter.  Looking at the full year. As I mentioned previously, we now have included the impact of the Arcadian acquisition in our forecast, which results in approximately $0.05 per share dilution, a $14 million pretax loss. Again, the 2012 Arcadian dilution reflects both transaction costs, as well as the full cost of the integration to prepare this business to fully transition to our Medicare platform on January 1, 2013.  Thus, in evaluating our full year 2012 Retail Segment pretax margin guidance range of 5.2% to 5.4%, it should be noted that the inclusion of Arcadian reduced our anticipated pretax margin by 20 basis points. However, on a same-store basis with our previous Retail margin guidance range of 5.3% to 5.5%, the revised pretax margin outlook for our Retail book of business, excluding Arcadian, actually is anticipated to increase by 10 basis points to a range of 5.4% to 5.6%, again primarily due to the favorable prior period development I discussed earlier. Finally, as you review the Retail Segment for the full year, please remember the 3 things that I mentioned earlier: first, the operating expense ratio will improve relative to last year as we go through this year; second, the addition of 550,000 at the midpoint PDP members, which, as usual, primarily benefits the second half pretax income; and third, also as usual, we do not include any future benefit from any additional prior period development in our full year forecast. Turning now to the Employer Group segment. Our pretax income of $121 million included 2 items that were not considered in our previous forecast as indicated on the slide. First, the results included the impact of $30 million in unfavorable prior period development, which I will elaborate on in just a minute. Second, we lowered our estimate of the 2011 minimum Medical Loss Ratio rebate payable by $13 million during the first quarter, which benefited our first quarter results. This amount was primarily attributable to the refinement of state-level calculations based on the first quarter runout of claims. With respect to the unfavorable prior period development, the $30 million consist primarily of the following 2 nontrend-related events: first, the timing of claims processing changes primarily at some of our claims clearinghouses as a result of their implementation of the HIPAA 5010 requirements caused us to slightly underestimate our IBNR at the end of the year. We are confident that this was a disruption around year end that is fully behind us since we are now processing over 98% of all claims in the new 5010 format. This change accounted for more than 1/2 of the $30 million.  Second, a onetime plan design change for one medium-sized Group Medicare Advantage account resulted in a slight underestimation of the related fourth quarter claims for this group and this accounted for most of the remainder of the $30 million.  So to summarize with the respect to medical claims reserve development, we had $8 million or $0.03 per share in the aggregate of greater-than-anticipated favorable development. And we anticipate there should be additional favorable development throughout the remaining 3 quarters of the year just as there has been in prior years since we continue to use the same actuarially based consistent reserving methodology from period-to-period as in the prior years. With respect to 2012 commercial medical cost trends, although we continue to expect a gradual uptick in utilization at some point, we did not experience an increase in the first quarter. In fact, we saw lower levels of inpatient hospitalization than we had expected. Although we have not changed our trend outlook for the full year, our trend forecast has now moved toward the lower end of the range of 6% to 6.5% that we have been planning for the full year and have discussed during the last 2 earnings conference calls. And finally, as also shown on the slide, leap-day negatively impacted the first quarter of this year by $15 million compared to 2011. Thus, with respect to the Employer Group segment, we're pleased with our overall pretax income of $121 million for the first quarter after giving consideration to the nontrend-related unfavorable development and the other factors listed on the slide. We remain confident of our full year Employer Group pretax outlook. Turning next to our Health and Well-Being Services Segment. As shown on this slide, both pretax and revenue earnings are showing significant growth over 2011. This is primarily due to the increase in volumes for our PBM and mail order operations, which are a result of increased Medicare Advantage and Medicare PDP membership, as well as increasing same-store mail order penetration levels. Also in this morning's press release, we've added statistical Page 9, which shows pharmacy metrics that provide further detail regarding our generic dispense rates and our script volumes. This final slide updates our current financial resources and 2012 capital deployment plans. But first, I want to comment on the first quarter 2012 cash flows, which were affected by an early CMS payment of 2 point -- $2,020,000,000 on March 30 related to the premiums for the month of April.  Excluding the early payment from CMS, first quarter operating cash flows were $465 million lower than in the first quarter of '11 due both to lower net income and working capital timing differences. The approximately $400 million of working capital timing differences primarily were due to roughly equal changes in both benefits payable and other liabilities.  The majority of the benefits payable portion included the timing of payments to our pharmacy benefit administrator while the other liabilities primarily included lower Part D risk share accruals and an additional associate payroll cycle. Accordingly, we remain confident in our full year 2012 operating cash flows guidance range of $1.8 billion to $2.0 billion.  From the standpoint of available financial resources, we are pleased to report that after consultations with the various state departments of insurance and the credit rating agencies, we expect to receive $1,022,000,000 in 2012 dividends from our operating subsidiaries during the next 90 days. This amount compares with $1,077,000,000 of 2011 dividends and will increase the March 31, 2012, parent cash and investments balance of $225 million.  With respect to our 2012 capital deployment plans, we continue our consistent and constant review of strategically important potential acquisitions and investments, as well as capital projects while concurrently returning capital to shareholders through our quarterly cash dividends and a strong repurchase program. As noted in the press release, the board recently increased our quarterly cash dividend initiated last year to $0.26 per share. At the same time, the board also refreshed our share repurchase program to up to $1 billion through June 30, 2014. Like the previous authorization, the new authorization permits shares to be repurchased from time-to-time at prices in the open market by block purchases or in privately negotiated transactions.  And with that, we'll open up the phone lines for questions. [Operator Instructions] Operator, will you please introduce the first caller?
Regina Nethery: We're ready for questions now, please.
Operator: [Operator Instructions] Your first question comes from the line of Matt Borsch with Goldman Sachs.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: Could I just ask on the -- your comments on medical cost trend where you actually saw utilization a bit lower. I assume that's adjusted for the leap-day impact. Are you seeing that in both commercial, and Medicare and any more granularity you can give us on that?
James H. Bloem: Well, the remarks that I gave were really confined to the commercial because that's the one that tends to vary more and it was -- and I discussed it under Employer Group. But in the Medicare, again we've not seen a lot of change. So again, we're very comfortable with sort of what we've been seeing. The leap day was accounted for in our pricing and in how we take into account our medical expense recognition.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: And let me ask back on the commercial side. What are you guys seeing now in terms of price competition across your local markets? Would you say that -- have you seen any change, would you say, compared to a year or 2 ago?
James E. Murray: This is Jim Murray. The -- breaking it into the various case sizes, the Small Group block of business seems nicely positioned throughout the markets. Periodically, you'll see a market get a little bit hot. But generally speaking, we think we're nicely positioned for 2012. We had a nice growth here in 2011 with Small Group. On the Large Group side, the case size that continues to always be highly competitive is what we refer to, in past, as the portfolio size cases or 100 to 300 employees per group and that seems to be very, very competitive in all the marketplaces that we do business. Nothing real crazy in terms of the self-funded competitive landscape. Every now and again, you see a quote for a particular case that you scratch your head about, but nothing systematic. So well positioned in the smaller case sizes. The portfolio's a little bit aggressive in various other markets that we do business. But as you can see from some of the guidance points that we gave, the fully insured growth potential that we see for 2012 is positive for us, and we're just blocking and tackling.
Matthew Borsch - Goldman Sachs Group Inc., Research Division: So I would take it then that the growth is more in the individual Small Group side and less on, I guess, what we refer to as middle market?
James E. Murray: That's a fair point, yes.
Operator: Question comes from the line of Josh Raskin with Barclays.
Joshua R. Raskin - Barclays Capital, Research Division: Just the first question I just want to start on CareSource and the relationship there. I guess, Mike, you talked about whatever it was 3 months ago when you had the last call about several opportunities that you were exploring around the distribution of the duals. Obviously, CareSource was a huge one. I'm just curious did that help or hinder other discussions with other plans? And then if you could sort of run through what the financials will look like on that partnership? And then I guess lastly, were you aware that they were going to exit, sell Michigan when you guys entered into that relationship?
Michael B. McCallister: The last one is, first, yes, we're aware of that. And I think that CareSource represents one effort to address the marketplace and it's a great opportunity for us multiple states involved here with a great player. We're talking to others. There will be -- and yes, it gets everyone's attention when you actually reach an agreement with somebody because everyone's positioning and trying to figure out how to get position for the Medicaid business with the dual-eligibles being the primary driver. So there's a lot of chairs moving around and this was a great opportunity for us to work with somebody in a key state, to start with and multiple states over time. And we haven't shared the economics of the relationship in detail. I don't think we'll be doing that. But this is the first step, and we're going to be very thoughtful and make sure that we reach this market in an appropriate fashion.
James H. Bloem: Michigan we were aware of.
Michael B. McCallister: We were aware of, yes.
Joshua R. Raskin - Barclays Capital, Research Division: Okay, that's helpful, Mike. And then just switching topics a little bit to the industry tax or fee, whatever you want to call it, that begins to be paid in '14, but there's discussions around potential accruals, et cetera, in '13. So I'm just curious how are you guys thinking about that as you prepare your bids, what is it now, 5 weeks away in terms of MA 2013?
Michael B. McCallister: We're not going to be having to deal with that tax for the 2013 bids, Josh. So we'll be dealing with it next year.
Joshua R. Raskin - Barclays Capital, Research Division: Okay, so you don't plan to accrue it all in 2013?
Michael B. McCallister: No, no, we don't.
Operator: Your next question comes from the line of Charles Boorady with Credit Suisse.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: First of all, I want to make sure I have the clean sort of operating run rate for the quarter. There was a negative $0.11 from PPOD due to those 2 factors you mentioned last year and then there was -- was it plus $0.06 from a change in the MLR definition. Did I get those right?
James H. Bloem: Well, again, what we said was the minimum MLR adjustment, the rebates was $0.06. And again, that's just a matter of seeing how the various states ran off in the first quarter versus the estimate that we had for the rest of it. The total favorable development was $0.03.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Okay, got it. I understand, but within the $0.03, was there a minus $0.11 roughly from factors -- the 2 factors last year you mentioned, the one big group and...
James H. Bloem: Actually, the amount in Retail, if you look at the slide, or the amount in Employer Group, let's take that one first. We had basically $41 million last year, and this year, it was a minus $30 million. The minus $30 million I explained is having 2 causes, those being the HIPAA 5010, which is now 98% of our claims being paid in compliance with that requirement. And the other one was -- the rest, that was between $15 million and $20 million. And then the other one was we made a plan design in one group, a medium-sized group and the Large Group business -- or in the Group Medicare business, which was basically all the rest. And that occurred in the fourth quarter.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Got it. It occurred in the fourth quarter, but the hit for it was in the 1Q, right?
James H. Bloem: Yes, yes.
Charles Andrew Boorady - Crédit Suisse AG, Research Division: Okay, and then other things in the quarter, was there a change in your understanding of the MLR definitions? United had mentioned that as a positive benefit to them as they got the clarification from CMS. And then also was there any RADV accrual positive or negative in the quarter?
James H. Bloem: With respect to medical expense ratio, no, we -- it sort of turned out the way that we thought it would turn out. And then with respect to the RADV, we had not accrued anything with respect to RADV because again, it was a revenue adjustment item rather than a cost. And so we didn't think that accruing was appropriate, so we had to think reverse.
Operator: Next question comes from the line of Sarah James with Wedbush.
Sarah James - Wedbush Securities Inc., Research Division: I really appreciate the breakout on Slide 22 of the year-over-year Retail margin. I just want to make sure I understand it correctly. It looks like of the 220 basis point change, 30 was prior period development, 70 was leap-day, Arcadian really didn't have a material impact. So then the 120 basis point amount that's left, could you just sort of break out the moving pieces within that?
James H. Bloem: Well, a lot of it has to do with the reinvestment that we talked about and resetting the margin every year that Mike went over in detail. And that's really the biggest part of it.
Michael B. McCallister: Other things that are part of the change quarter-over-quarter would be the impact of leap year this year, also the PDP business that is included in that statistic. There's a lot more PDP members this year than there were last year and so that's having a somewhat of an impact on this year's quarter results, but should reverse itself as the rest of the year plays out because of the seasonal nature of how those costs are incurred.
James H. Bloem: Yes, that's correct, and so when you put those adjustments back to the 1.9, you come very close to the 2.1 that again we're looking for, for the full year.
Michael B. McCallister: And the other thing that I would quickly throw out is that the administrative spend for the clinicians that we've hired since the second quarter of last year, about 950 nurses throughout all of the United States, had a negative impact on our quarter's results compared to last year's first quarter but obviously we'll have a nice pickup over the remainder of the year and into the future because of the work -- good work that they do around helping people understand their medical spend and what have you.
James H. Bloem: Sarah, just quick for a minute, if you just look at the prior period development for '12 and leap-day as Jim said, that really gets you that 1.9.
Sarah James - Wedbush Securities Inc., Research Division: Okay. So if I use your full year numbers to visualize how it happens with Part D, the 0.6 for the prior period development and the 0.2 change in margin for the Arcadian, the delta there between what you have in your slides for the full year change in margin is just the admin spend is how I should be thinking about it.
Michael B. McCallister: Correct.
Sarah James - Wedbush Securities Inc., Research Division: Okay, got it. And then I understand you don't want to comment too much on the partnerships that you may have coming up with the duals, but just from a structural standpoint, should we be thinking about that as a partnership that's more like a service fee or a set fee where you would pay them something for access to that contract or more of sharing risks?
James E. Murray: Yes, the contracts that we have with CareSource today has CareSource being at risk for the TANF population and also at risk for the Medicare population that we've typically been at risk for. As we go through the various states that we're going to do business, there may be some sharing of the long-term care risk that exist, but that hasn't been quantified or set as we go through the various states.
Sarah James - Wedbush Securities Inc., Research Division: Last quick clarification. In the press release, it mentioned there was a re-class relating to preparation of getting more in line with minimum MLR for 2014. Could you just tell us about how much that was of a re-class from SG&A to MLR?
James H. Bloem: That was a generic. When you look at it, everything in its total, as we get ready to get to 2014, we know that we have to get to 85% everywhere in the aggregate. And then we have the state limitations so we've made some adjustments so that we don't have to make one huge adjustment, but we're sort of on the glide path into that 85%.
Operator: Your next question comes from the line of Kevin Fischbeck with Bank of America.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay, great. Just want to follow up on that last question there. How much of a drag was that accrual back to the -- or the glide path back to minimum MLR requirement, and is that something you think other companies are doing right now or are you kind of being ahead of the game on that?
Michael B. McCallister: Well, we don't comment on what we think other people are doing. We'll get a good read on what they're going to be doing for '13, again, as we always do in the fall. But again for us, it's a matter of the stability of premium and benefits is very important to us. So you don't want to get into a situation where the premium and benefits for each member is changed radically in a single year when you know that in a couple of years you have to bring everything into an 85% constraint. So that's why that was done. We're just pointing that out.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay, but I guess as we think about rates over the next couple of years when you said the industry fee in 2014 and then you got some quoting adjustments and then the Star bonus demonstration expires in 2015. Is there a thought about saving some of those -- that extra profit for the things going on in 2014 to keep that more stable rather than trying give it away now?
Michael B. McCallister: Actually again, we think it's very important to continue to attract Medicare membership. And then as you can see when we have those members over a number of years, we get, A, we get better at coordinating their care and teaching them health and well-being for themselves. And B, that also gives us an advantage then that they can begin to migrate to a plan that's appropriate to them that gets to and helps their retention with us and gets them to the appropriate level of care and coverage that they need.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: And so how is this different than just resetting your margins to your kind of 5% target, and then how should we think about the impact of this in isolation versus the other things that are going on around MLR?
James E. Murray: Yes, this is Jim Murray. It's an integral part of the reset process. In prior years, as we did the reset, the evaluation of the likelihood of the secular trend or the trend vendors to play out would be known at that time. And for this year, we felt it was appropriate to rather than wait until 2014 to be explicitly identifying a part of the margin reset for us to get our medical expense ratios more in line with what will likely happen in 2014. It's a very detailed process. And again, we just think that it was wise now to, if you will, amortize the exposure that we had on the state or county basis so that we didn't have a big cliff when we hit 2014. But it's an integral part of the process and it's just -- it's a function of how much we think our assumptions around our bidding process are conservative or aggressive.
Kevin M. Fischbeck - BofA Merrill Lynch, Research Division: Okay, just last question here. You mentioned briefly in the prepared comments about the 2013 rate. Was there anything in 2013 rate that made you think that today, like now, is the time to be doing this rather than waiting for 2014?
Michael B. McCallister: No, we would have done it anyway. Just all part of the way we approach it.
Bruce D. Broussard: All the factors we talked about in the past was an understanding secular trend and the trend vendors and the good work that we're doing around the 15 Percent Solution and the amount of room that we have in all of that. And as we sit here today, we've got a bunch of our markets that are in doing the bidding process and we just felt it was appropriate to step up to it. And we feel very good about what we've talked about in the past. I think Mike highlighted it in his remarks. It's a very iterative process that we are very deliberate about.
Operator: Your next question comes from the line of Christine Arnold with Cowen.
Christine Arnold - Cowen and Company, LLC, Research Division: I wanted to ask a clarifying question about the HIPAA 5010 and how that impacted the development in the quarter. And also I see, with respect to your days claims payable, you mentioned that you've seen a mix shift favorable capitation in HMO products within Medicare Advantage. Can you quantify that impact and quantify the mix shift you've seen at Medicare Advantage book on a capitated side?
James H. Bloem: Yes, for year-over-year -- let's do that one first. The year-over-year on capitation, basically we went from about 13.1% of our members were in capitation arrangements and I'm talking about the Medicare now because that's where most of the Med capitation is. And now it's like 14.5%. And so that increase -- if you take that increase and you look at the total increase in our Medicare Advantage membership you see that's a good part of it and then you think back to what we've told you before about a lot of our expansion this year was in HMOs and that's where the capitation takes place. So when you look in days in claims payable, you can see that they went down about 2.5 days and that, that really is the reason. There's lots of our normal ins and outs that we show you on Pages S16, but again the biggest one was the 2.5 days for that capitation as you pointed out. And I forgot the other part of your question.
Christine Arnold - Cowen and Company, LLC, Research Division: Can you expand on the impact of HIPAA 5010 and the claims inventories in the fourth quarter on the prior period negative development that you saw in the Employer segment?
James H. Bloem: HIPAA 5010 was, at that time, in the fourth quarter, it was said that it needed to be done by 9/30 of '12. So a lot of the claims clearinghouses began their work on it. It's very important in order to be compliant with HIPAA with respect to the electronic transmission of claims. And that's obviously the way we do things -- most of our claims are handled that way. And so we had a couple of large clearinghouses that basically left off some claims for the last couple of days of the year like the 30th. The 30th was a Friday, and the 31st was the Saturday, if I'm not mistaken. And we knew they did that, but we underestimated the extent that they did that. But again, we knew that we were going to have this disruption because everybody has to become compliant. So the good news is that, that's a onetime thing because now we have 98% of our claims are compliant with HIPAA 5010.
Christine Arnold - Cowen and Company, LLC, Research Division: So it sounds like the completion factors in fourth quarter were lower than you thought at the time. What's the risk that baseline medical trends on which you build your pricing just weren't high enough because you didn't get the baseline trend or you're pretty confident that didn't happen?
James H. Bloem: We're very confident that didn't happen because by that time the pricing decisions are largely all made. So again, this is just a matter of making our processes and bringing our processes up to regulatory requirements that are coming. Again, we think that we're ahead of people on that. But we give a lot of transparency so that people can see where we are and then we've given you the explanation.
Christine Arnold - Cowen and Company, LLC, Research Division: Am I right that this is a completion factor issue?
James H. Bloem: Yes, because it was right at the end of the year as I mentioned.
Bruce D. Broussard: In prior quarters, we talked about a 7% pricing turn. And as Jim highlighted in his remarks earlier, that now is looking like it's in the 6% to 6.5% range. So we feel very comfortable with our pricing on our commercial book. And then on the capitation, I know that it impacts negatively the days in claims payable, which all of you wonder about quality. But we will happily trade that for getting 196,000 members in HMO arrangements because that's the best way to manage those members going forward. And so that's a good trade-off for us to make, and we're happy about it.
Operator: Your next question comes from the line of Ana Gupte with Sanford Bernstein.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: Was again following up on the Medicare margin and some of your competitors that report more cleanly I think are seeing either margin expansion that was about PPOD. I was curious to see you have 30 bps of PPD improvement -- the PPD based margin improvement in the Retail Segment. Is that gross or net? Did you take any of that back into the balance? And as you're thinking about the pricing for this year, the Star bonuses and any of trends that you may be seeing in the ICD markets as far as recovery, the ortho market and/or baby boomers as they're possibly coming into MA using more care because the Medicare benefit is richer, what is sort of your views on the trend in pricing environment and how is that impacting your forward projection? I was a little surprised at how weak the PPD came in, given last year trend is well recognized to be fairly low in MA?
James E. Murray: Well, again, we continue to use the same actuarial methodology and we use it consistently in terms of our reserving. The prior period development is gross. So we -- it is kind of what it is. But if you think about using the same methodology as you go forward, the first thing that produces prior period development is -- favorable prior period development is lowering of trend. And so once that, that's occurred and gotten to a more stable place than it was before, like we had said before between 4 and 5 then we said to the lower end of that range. Once it gets there, then you'd expect favorable development to recede. And in fact, favorable development in '11 was less than '10. So again, we don't -- we would say, to reemphasize, we use the same actuarially sound consistent methodology in reserving and we would expect then that as trends settle in at these lower levels that they have, that favorable development would be less in subsequent period but never disappear.
Ana Gupte - Sanford C. Bernstein & Co., LLC., Research Division: And then to the thesis that some of the device investors have around the ICD market recovering potentially, the ortho market also picking up, are you seeing anything just in terms of utilization on a same-store basis or in terms of mix shift from the new baby boomers? Your data on membership or in general for the industry, given a large bolus of membership is coming in from the baby boomers, did not really reflect that well on Part D or Medicare. And I was wondering whether you thought about that?
James H. Bloem: We've not heard of anything that makes it really that perceptible. Obviously, the government continues to work on the pricing of devices and what their costs are, but we don't -- we haven't seen anything that would be meaningful to the kind of discussion we're having here today about the Retail Segment, for example, that, that would be any material part of.
Michael B. McCallister: Now I'll repeat what we've been saying for several years. We have a range out there of Medicare cost trends that take into account all these things you're asking about, and that range hasn't moved much. And we did talk about last year how we were coming in at the lower end of that, but we never really got out of it. So we see this whole business as relatively no drama when it comes to these sort of things. And it's been pretty predictable. We're big enough now that we have run rate scale here. And as we look at new members versus old members versus baby boomers versus non, we can clearly segment those and see different levels of spending and that sort of thing. But at the end of the day, this is a relatively predictable business with a population that is not quite as exposed to the economic changes out there as others although there's probably some pressure on them for some of their out-of-pocket spending. So it's one of the great things about this business is that these folks use a lot health care. They're in the system and once you get enough scale to where you can look at these people on a broad-based population basis, there isn't a lot of drum and that's the way I would describe it. There's not much drama here.
Bruce D. Broussard: Yes, we've talked for months and quarters and years about, a 4% to 5% secular trend, and our actuaries continue to tell us that that's about where we're going to see secular trend. And then we do all of the good work that we do to try to reduce that through our 15 Percent Solution. And the other point that I would draw out is that there's risk adjustment that goes on for all these populations that you're talking about it, so to the extent that any of those populations may be younger, and in theory healthier, the revenue that we get is risk adjusted. And so I think we see a lot of stability in a lot of the numbers that we're seeing from a Humana perspective.
Michael B. McCallister: We've said for quite a while the risk adjustment process is pretty good, and we think it's appropriate to do it that way. And so when you tie all that together, I mean in the simplest terms, your expenses should predictably follow your revenues if the risk adjustment is done properly and we think by and large, it is.
Operator: The next question comes from the line of Chris Rigg with Susquehanna.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: I just want to come back to the unfavorable reserve development again in the Employer Segment. Is it correct to say if you didn't have these technical changes, the reserve development would have basically been 0 or is it -- is that inappropriate and in fact if you didn't have the technical adjustments, it would've been -- the trend would've been more like what you saw in the Retail side, down a little bit year-to-year but not 0?
James H. Bloem: Yes, the latter.
Christian Rigg - Susquehanna Financial Group, LLLP, Research Division: Okay. And then I guess at this point what's your sort of expectations for share repurchase at this point, sort of any guidance there evenly spread out over the course of the year or do you, at this point, is that sort of on hold?
James H. Bloem: We don't make any predictions or we don't include in our forecast any accretion due to share repurchase. But again, if you look at the last one, you can see that we were sort of running ratably. But again, we don't make any comment or anything about when we might do that. But you look at what we've done, it's generally been moving along. We had 50% of the time was gone, we did 55% of the buys.
Operator: Your next question comes from the line of Scott Fidel with Deutsche Bank.
Scott J. Fidel - Deutsche Bank AG, Research Division: First question. Just can you share with us what the Group Medicare pretax margin was in the first quarter including and excluding the reserve development, and then just give us an update on what you're now expecting for Group Medicare margin for the full year?
James H. Bloem: Actually, we look at our all our Medicare business in one look per segment, and so we don't generally break those out. The Group Medicare portion of the Group business is a substantial portion. And we do give a group, an employer group benefit ratio. And as you know, we didn't change that. So again, I think that we're looking for things to continue to move along subject to what I said about the earnings pattern.
Scott J. Fidel - Deutsche Bank AG, Research Division: Okay, I think in prior calls, you've talked about the employer -- the Group Medicare expecting sort of a bit below that average or -- I'm sorry, actually a bit above that average level. Is that, at this point, I guess, would you think it's more tracking sort of in line with that average level including the negative to reserve out?
James E. Murray: This is Jim Murray. I think what we've said in the past is it runs slightly below the individual margin, and we've talked about a 5% margin target in the individual space.
Scott J. Fidel - Deutsche Bank AG, Research Division: Okay, then just a follow-up, just on the Arcadian transaction and just your update that you expected to be around $0.05 dilutive. First question, just -- is there any affect in that $0.05 dilution from the DOJ final requirements in the settlement there that maybe made that a bit more dilutive this year? And then just philosophically, generally we haven't seen Humana doing many deals where there's upfront dilution. It typically tends to be maybe more neutral initially. Was there anything sort of different about Arcadian that drives to be a bit much more dilutive, or is there a change philosophically in how you think about sort of year 1 accretion dilution on deals?
James H. Bloem: No, there's no change in how we think about it and your question really suggests the answer. The Department of Justice is a factor in the dilution. We had a couple of million dollars and it shows on the slide of costs with respect to Arcadian and then we closed it on the last day of the quarter. So those are transaction costs, just to be explicit about them. And then we have some divestiture responsibilities that we have to do and we know that -- we're assuming that, that there will be some costs associated with that. We won't break that out. But then we're in the position, basically, where we're looking at moving the remaining 50,000 people that will be here next year onto our platform on January 1. And again, the kind of expenses we're talked about for that integration costs are basically all in the admin area. We're very satisfied with the underwriting margin and the MLRs. We think that, that we're in good shape there in terms of the acquisition and so -- and we try very hard not to be dilutive at the beginning. But there is tremendous advantage to us, to get these on our platforms as soon as possible. The problem is we can only do it once year. So the earlier we do it in a year, the more we have to carry the costs.
Operator: Your next question comes from the line of David Windley with Jefferies.
David H. Windley - Jefferies & Company, Inc., Research Division: Just want to follow-up on the question Chris asked a minute ago on the Employer Group unfavorable prior period development, if I understood your answer correctly you're saying that's a net number and that there would've been a positive prior period development number from trend and then negative offset from these technical factors. Is that correct? And if so, could you break out the positive and negative?
James H. Bloem: Actually, what we said is we explained the 30 negative just to bring it back to 0. If we look at the prior year at 41, the prior year at 41 favorable development is an extremely high number because of the very low trend at the end of '10. So when we look at these, basically it really pays us to take a look at what's in the 30. And so that's why we sort of broke that out for you. We're very confident. Again, when you take leap day into account and you take the rest of it together that we have a very good business in the Employer Group this year.
David H. Windley - Jefferies & Company, Inc., Research Division: Okay, Jim, but if...
James H. Bloem: Although pretax didn’t show it.
David H. Windley - Jefferies & Company, Inc., Research Division: If the technical factors in the 30 had not been there, then that PPD line would have been 0? Is that the way to interpret that?
James H. Bloem: Again, directionally, that's correct. That's what we were trying to show you, that, that 30 is a nontrend, nonrun kind of thing that basically came out of the 5010 that one group change benefit design.
David H. Windley - Jefferies & Company, Inc., Research Division: Okay, shifting to membership. I think relative to prior guidance, the commercial fully insured and commercial ASO membership expectations moved a little bit and I think moved in opposite directions. Were there trade-offs between the 2, or were there other reasons for the membership change, expectations change?
James H. Bloem: I think the basic reason is, is we continue to look as the year -- in the first quarter, especially, when we see what comes in and what's still out there Large Group, Small Group, there were sort of a little bit -- about half of the difference of the 30,000 in the fully insured that you saw -- again, with several going up, we're just not going to go up as much. That was about equally split between those 2. And in the ASO business, we basically have said we're very disciplined about the fees that we require for ASOs. So again, looking at that, we made that adjustment.
Operator: Next question comes from the line of Peter Costa with Wells Fargo Securities.
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: I'd like to explore a little bit more about the 2.5 day decline in days claims payable tied to capitation. The last time you guys disclosed how much your membership was in capitated arrangements was back in 2010, and at that point in time it was about 3%. And if I count all the risk-sharing stuff, it'd be like 22% into that number. So how do you reconcile those 2 numbers versus the 13.1% and the 14.5% that you gave on the call today? And then why wouldn't you have 2.5 day drop not create more sort of prior period favorable reserve development because that is, in fact, your reserve coming down, right?
James H. Bloem: Well, capitation is not included in days in claims payable. So that's one of the reasons it gets excluded. So when you look at that number, basically I'd said that days in claims payable wouldn't have fallen, but for the increase in capitation. So if you look out what that we mentioned and Jim was quite explicit about the HMO growth this year, that was probably about half of it. And then we also made settlements with capitated providers, maybe a little bit more that we normally do in the first quarter because again the year was over.
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: And so can you talk about the size of those settlements in terms of what exactly happened there?
James H. Bloem: Well, half -- again, trying to keep it into days, half of that 2.5 days was the increase in the HMO and then the capitation that I mentioned where we went from 13.1% to 14.5% of our membership. Peter, I'm not tracking with your other number from before because these would be higher numbers. Generally, we were in single digits before. We used to have a little cap table that we put in the release, but then cap got to be so small we took it out. Maybe we need to think about putting it back. But the idea is we've now crept up to just around -- just to the low teens now from a high single digits it’s normal capitation.
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: Right. It was actually low single digits back at the end of 2010. It was 3% if I just take the pure capitated component.
James H. Bloem: Yes, and that's what Jim said. If you go back and look at those years, the increase that we've had in our HMO population, that's really where our membership has come from. We’ve continued to migrate people there and we’ve continued to offer them plans there.
Regina Nethery: Peter, it's Regina. Are the low single-digit numbers that you're talking about, is that total medical membership, correct?
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: That's just Medicare Advantage.
Regina Nethery: Oh, okay. That doesn't sound...
James H. Bloem: That seems to low, Peter.
Regina Nethery: That's too low.
James H. Bloem: I would have said that we have 25% to 30% of our membership in capitated arrangements.
Regina Nethery: Yes.
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: That would be if you counted all the risk-sharing stuff that you used to break out 3 categories.
Regina Nethery: No, I understand...
Peter H. Costa - Wells Fargo Securities, LLC, Research Division: The capitated HMO hospital, the capitated HMO physician group and the risk sharing. And if you count the risk sharing, you'd be up in the sort of the 20% range, but then you have come down from that number to get to your 13.1 for last year, or otherwise, you went up from the 3% depending on which number the 13.1 correlates to and I'm just trying to understand why you didn't either see this happen last year or see a bigger difference last year and now we're seeing it all show up this year for what seems like a relatively small change compared to what must have happened in 2011.
Regina Nethery: Peter, it's Regina. We don't have the previous disclosure in the room with us right now. So what I would suggest is I'll give you a call back and we'll talk through that. But I don't anticipate anything because we're just not tracking with what you're showing as the previous numbers. So I'll call you back after the call and we'll walk through it.
James H. Bloem: At least for the record, collectively, our recollections are on the same here, but when we look -- as we're looking at each other, again, high single digits now to the low teens.
Bruce D. Broussard: And the comment about why we would pay a larger amount to a provider is because the providers had a very good year and if you look at our 2011 results, that would comport, so the liability that would have gotten established at the end of 2011 got paid in the first quarter and so that's probably why it's bigger than what you're used to before.
Operator: Our next question comes from the line of Carl McDonald with Citigroup.
Carl R. McDonald - Citigroup Inc, Research Division: In the Employer Segment guidance, you did $120 million in earnings in the first quarter. The low end of the guidance is $125 million. Is that all seasonality? I ask only because there's certainly been seasonality in prior years. It just doesn't seem to be nearly that large.
James H. Bloem: A lot of it is, and that's correct. Again, we were continuing to look at that because again -- but again, the first quarter was weighted down as we've talked about. But generally speaking, if you look at the years -- and that's another thing. You can really do is when you go back and look at what we were forecasting last year at this time, the same kind of thing. Again, looking to where we ended up, most of the earnings were in the first half of the year and most of them were in the first quarter.
Bruce D. Broussard: I think Jim talked earlier that there is an expectation that trend levels will return to normal levels, and we'll see how that plays itself out.
Operator: Your next question comes from the line of Doug Simpson with Morgan Stanley.
Douglas Simpson - Morgan Stanley, Research Division: Just, and I apologize if I missed these 2, but just on the MA individual PMPMs being down year-over-year, as calculated in the quarter, I think you said that it was partly the membership addition of Arcadian. If we were to look at that on more of an apples-to-apples sort of day-weighted membership number, what would that number have looked like?
James H. Bloem: If it was day-weighted, it would have been very small because it was acquired on the last day. But your question, in fact, points out at how we actually do it, which is we take the average for the month. We do a monthly calculation. So that means it was there on the last day but it got no premium, but it was the yield was in there -- or the lower thing, and again, no premium but it was only there one day.
Douglas Simpson - Morgan Stanley, Research Division: Okay, and we could do the math just to make sure we're in the ballpark. If we were to pull that out, where would that settle out? Would they be more flat year-over-year, or would they be up or would they still be down?
James H. Bloem: That was probably -- I think it's down $25 and I think that's about 1/2 of it.
Douglas Simpson - Morgan Stanley, Research Division: It's about 1/2 of it, okay. And then just to make sure I'm understanding correctly the $0.06 of rebate accruals, the reversal for the 2011 minimum MLR rebates that you walked through in Slide 20, I'm just a little bit confused. So understand the reversal. But just trying to understand exactly what drove the reversal. I think you said earlier it wasn't a rule change and it related to sort of how markets ran out. So I mean does that basically mean that some markets in late December you saw a little bit of a lift in trend. So you reversed that accrual, sort of ate into the buffer? Is that the right way to think about that?
James H. Bloem: Actually, the way the process actually works is these end up in your statutory filings, which are filed on March 1. So as you're cruising toward the end of the year, you have estimates in all the different places, where it's running it and then when it doesn't quite hit those, then you're making adjustment like we described.
Douglas Simpson - Morgan Stanley, Research Division: Okay, so...
James H. Bloem: So because you watch it run out, you see what happened and then you say that's what's nice about the March 1 filing. You can see where that ends up going to as opposed to when you're making the accrual in the fourth quarter, you don't have all that information. So it's just a refinement of estimate by state.
Douglas Simpson - Morgan Stanley, Research Division: Okay, and how does that -- the way that played out, how does that influence your thinking about trend and utilization on the commercial side looking into 2012?
James H. Bloem: I don't think it says very much, again because I referred to it as a refinement of estimate. And everything we've told you today about unfavorable development and all the other things have to do with the sort of the onetime change. And so you would expect that an estimate that you made before you saw all of the 45 buckets that it would go into, there would be some disparity there.
Michael B. McCallister: With all the dozens of statutory filings and all that, it would be a mistake to make broad-based trend implications from this particular metric.
Douglas Simpson - Morgan Stanley, Research Division: Okay, okay, and then that's helpful. And then just one, on the $40 million that you laid out on the, I think it's on slide, I believe, it's Slide 20, where you talked about the leap-year impact hurting first quarter. But then for the full year there's a 0 in that column and I might be reading too much into that slide, but is that -- does it reverse later in the year somehow that I'm not appreciating, or is it just sort of baked into the other lines on that slide?
James H. Bloem: Actually, how it works is the expense of leap-day occurs in the first quarter. So all the expense associated with it lands in the first quarter. But the premium, the actuaries didn't forget that it was leap year, that premium is collected 1/12. So you get -- you sort of get it back or you get compensated for it as it was reflected in your pricing over 12 months.
Douglas Simpson - Morgan Stanley, Research Division: Okay, so over the course of the year, it should have a 0 impact.
James H. Bloem: And that's why we don't show it -- we show in the fourth quarter. It goes away because we're going to collect all the premium associated with it, but we had all of these expense in the first quarter.
Operator: Last question comes from the line of Tom Carroll with Stifel.
Thomas A. Carroll - Stifel, Nicolaus & Co., Inc., Research Division: Just a quick one here. Your Prescription Drug business is materially larger this year, and I think you mentioned that. But did the PDP MLR show any deterioration year-over-year or was it about the same?
James H. Bloem: We don't break out the MLRs again in the Medicare business. But again, we have an overall 5% margin that we're shooting for at the beginning of the year as we are now. So when we look at we've got a lot more PDP members this year, number one, and we're not -- all we can say is we're very comfortable with our 5% margin for the year with respect to PDP. So...
Bruce D. Broussard: And Mike talked about the strategy of growing our Medicare members, both PDP and MA. A side benefit of that is the ability to utilize some of our ancillary businesses and you spotted one that is an extremely important part of that whole equation.
Thomas A. Carroll - Stifel, Nicolaus & Co., Inc., Research Division: Understood, but maybe directionally can you help us out a little bit? I'm trying to see what the impact was here. I mean you got bigger in a business that's more unfavorably seasonal at the beginning of the year. If your MLR got a little bit worse, maybe that's a way to think about it. On the back half of the year, maybe it gets that much better towards third and fourth quarter. So maybe a directional comment, if you can?
James H. Bloem: Well, there's more of them to get better at the end of the year. So that's part of the thing. And then -- so at the beginning of the year, the converse is true.
Michael B. McCallister: We don't anticipate anything unusual happening in PDP this year on this. It's not much different.
Operator: At this time, there are no audio questions.
Michael B. McCallister: Okay, thank you for joining us this morning. We think this was a very good quarter. We did beat our guidance and raised for the year, and we have faith in where we're going in the future with our strategy and as businesses develop. I want to thank you for joining us. I want to take thank all the Humana associates who are on the phone call this morning for the great work that made this quarter possible. And with that, we'll see you in 90 days. Thank you.
Operator: Thank you for your participation. That does conclude today's conference call. You may now disconnect.